Operator: Good morning ladies and gentlemen, and welcome to the BRP Inc.’s FY24 second quarter results conference call. For participants who use the telephone line, it is recommended to turn off the sound on your device.  I would now like to turn the meeting over to Mr. Philippe Deschênes. Please go ahead, Mr. Deschênes.
Philippe Deschênes: Thank you Julie. Good morning and welcome to BRP’s conference call for the second quarter of fiscal year ’24. Joining me this morning are José Boisjoli, President and Chief Executive Officer, and Sébastien Martel, Chief Financial Officer. Before we move to the prepared remarks, I would like to remind everyone that certain forward-looking statements will be made during the call and that the actual results could differ from those implied in these statements. Forward-looking information is based on certain assumptions and is subject to risks and uncertainties, and I invite you to consult BRP’s MD&A for a complete list of these.  Also during the call, reference will be made to supporting slides, and you can find the presentation on our website at brp.com under the Investor Relations section. With that, I’ll turn the call over to José.
José Boisjoli: Thank you Philippe. Good morning everyone and thank you for joining us.  I am pleased to report that we delivered a very solid quarter driven by continued strength in consumer demand for our line-up and the ongoing support of our dealer network. Solid execution of our plan led to an impressive market share gain and record results for our second quarter. Given this strong performance and our positive outlook for the rest of the year, we are increasing our normalized EPS guidance to a range of $12.35 to $12.85.  Let’s turn to Slide 4 for key financial highlights. Revenue reached $2.8 billion, up 14% from the previous year driven by higher volume and pricing. Normalized EBITDA grew 13% to $473 million and normalized EPS increased 9% to reach $3.21.  Turning to Slide 4 for a look at our Q2 retail performance, our product portfolio continued to gain traction with consumers, leading to significant market share gains. In North America, our retail sales were up 41% compared to an industry that was up mid-teen percent. Given our retail performance, this implies that BRP accounted for most of the industry growth in the quarter. We were also very strong in international markets with retail up 23% in EMEA, 36% in Latin America, and 33% in Asia Pacific.  Looking more closely at the numbers, we see that demand for products remains robust despite ongoing macroeconomic concerns. We just had our strongest second quarter ever at retail except for the first few months of COVID, where we experienced significant inventory depletion. Not only was our retail up 41%, but it was up 37% versus Q2 of fiscal year ’20, showing continuous gains. With this strong performance, we reached record market share for side-by-side, ATV and personal watercraft, all of this with retail incentives below pre-COVID levels. We believe those results are driven by the evolution of our customer profile over the last four years. The influx of new entrants remains high at 39%. We also continue to see high FICO scores, and the average household income from our customer survey is 40% higher than pre-COVID at slightly above US $160,000. Those customers are looking for more high end product, which explains our momentum in this category across our line-ups. Bottom line, the typical BRP product buyer remains in very good shape financially. This puts us in a favorable position entering the second half of the year. Turning to Slide 7 for an overview of key products introduced at our BRP Club held in Atlanta two weeks ago, this year’s club was one of the largest ever with 5,300 total participants in person and virtually. The highlight was the launch of the Can-Am Maverick R, our flagship model in the sport category. It brings a new dimension to riding with an industry-leading 240 horsepower engine, industry-first dual clutch transmission, a unique suspension geometry, and [indiscernible] technology. With this new offering, we are well positioned to gain market share in the high end sports side-by-side category. This was not the only product news, as shown on Slide 8. We improved our entry level offering with the first major evolution of the highly successful Sea-Doo Spark since its introduction. We also launched many new side-by-side models, notably the Can-Am Defender XT HD7, as well as the Maverick X3 RS Turbo, the industry’s most affordable mid-HP 72-inch wide side-by-side. These models offer a lot of value at price points that reach a wide range of consumers. We also continue to push innovation in the premium segment, which has seen the fastest growth in recent years. We introduced a full range of high end models, such as the Manitou Explore Max 300 HP, a pontoon with dual rotax engine, and the larger Max Deck, the Sea-Doo RXP-X and RXT-X with 325 horsepower and the Sea-Doo Switch Cruise Limited. We also added a touch screen with Apple CarPlay to our Spyder models. These additions represent a historic level of product news, which will help us to gain more market share and grow our addressable market while further improving our margin profile. All our new products were well received. The order process is ongoing, volume is as expected, the mix is currently trending slightly better.  Now let’s turn to Slide 9 for our year-round products. Revenue was up 8%, reaching $1.5 billion driven by strong shipments of side-by-side vehicles and ATVs. At retail, Can-Am side-by-side had its strongest Q2 ever with retail up high 20% and solid growth in all segments and price categories. We also finished the season with a 6 point market share gain to reach the high 20% range in North America. With this performance, we are very close to delivering on our M25 objective of reaching a 30% market share by the end of fiscal year ’25, but of course we will not stop there. Moreover, for the first time ever, Can-Am side-by-side reached the number one position in Canada with a market share in the high 30%.  As for ATV, our retail was up mid-30%. This performance was notably driven by strong growth in the mid-cc segment, reflecting the success of our newly introduced mid-cc Outlander platform. Also, ATV also closed its North American season with the strongest share gain in the industry, passing the 20% mark for the first time ever. We are pleased with the momentum of our off-road business and with recent product introductions, we are in a good position to continue outperforming the industry. Looking at three-wheel vehicles, retail was down high single digits compared to an industry that was up high single digits. While consumer interest remained high, the Ryker’s retail performance was softer in the quarter. As seen across the industry, buyers of entry level product are more hesitant to purchase at the moment; meanwhile, the Spyder F3 and RT models, which are higher end, had solid growth. With the upgrade on the model year ’24, we are well positioned for next season. Turning to seasonal product on Slide 10, revenue was up 30%, reaching almost $900 million driven by higher volume of snowmobile and Switch pontoons as well as favorable pricing. Looking at our retail performance, we had a very strong quarter for personal watercraft with retail up about 60%, again an easy comparable to a year ago. Remember that we had limited product availability in the network during Q2 last year. Still, this performance was exceptional from an historical perspective; in fact, our season-to-date retail is the strongest in the last 15 years. These results demonstrate the strength of our line-up and our ability to create new segments with models such as the Wake, Fish and Explorer Pros. These products bring new entrants to the category, which drives industry growth, and with our new product introductions for ’24, we are well positioned to sustain our momentum. As for our Sea-Doo Switch, our retail was up over 200% and we had the number three position in the U.S. pontoon industry over the three-month period ended in May. This is a great example of how we can disrupt categories by developing market-shaping product.  Finally for snowmobiles, we are currently in the off-season. We are confident for the peak season with a high level of units pre-sold to consumers.  Moving onto Slide 11 with power sport parts, accessories and apparel, and OEM engines, revenue was up 14% to $294 million. We continue to benefit from our growing product portfolio and vehicle fleet in use, which led to higher replacement parts and accessories sales driven by the Link ecosystem. We expect a softer second half than originally planned for our PA&A business as we anticipate dealers to de-stock inventory mainly for the Sea-Doo pontoon and three-wheel vehicle line-ups.  Looking at our recent acquisition, a key highlight was the introduction of Pinion motor gearbox unit, commonly called MGU, which combines a full power electric bicycle motor in our industry-leading gearbox in one compact package. This promising technology got excellent reviews following its introduction in June, notably winning the prestigious Eurobike Gold Award in Frankfurt. Now moving to marine on Slide 12, revenue was down 5% to $125 million, reflecting a lower volume of boat shipments. The revenue decrease is due to the slower than expected production ramp-up of the new Manitou platform, namely because of a supplier issue for an esthetic component which limited product availability. This issue has now been resolved. Looking at retail sales from an industry perspective, the boat category has seen weaker demand so far this year. Demand was affected by higher financing costs and poor weather in many markets, especially in the Great Lakes region which is key for both Alumacraft and Manitou. In addition, our retail performance was impacted the supply issue for Manitou, and we still had lapping months retailing welded boats for Alumacraft. For Quintrex, retail was down in line with the industry in Australia.  Given the slower production ramp-up for Manitou and softer industry trends in the boating sector, we decided to realign our plan for this year focusing on season ’24. While the year has not unfolded according to plan, we are encouraged by consumer reaction to the new boats and we remain confident about our strategy for the marine business. With that, I turn the call over to Sébastien.
Sébastien Martel: Thank you José and good morning everyone. We once again delivered solid results in the second quarter driven by robust top line growth, fueled by the sustained strong demand for our power sport line-up which continues to translate to market share gain and growing momentum with our dealer network. Our focus on efficiency also paid dividends as we ended the quarter with lower than anticipated turbulence cost and operating expenses. These elements combined with stronger than expected revenue growth allowed us to offset inefficiencies on the marine side to deliver results slightly ahead of plan. Our revenues for the quarter were up 14% versus last year, ending at $2.8 billion. We generated $698 million of gross profit, representing a margin of 25.1%, up 40 basis points from last year primarily driven by the favorable impact of pricing net of cost inflation and lower turbulence costs as we operated in a more normal production environment. These benefits were partly offset by inefficiencies related to the marine business, increase in sales programs which remain below pre-COVID levels, higher interest rate on floor plan financing, and unfavorable foreign exchange rate variations which impacted margins by 180 basis points in the quarter. Continuing down the P&L, we generated normalized EBITDA for the quarter of $473 million, representing a margin of 17%. Our normalized net income reached $255 million, resulting in a normalized earnings per share of $3.21, up 9% versus last year. Our free cash flow generation was also strong at $387 million, driven by a strong operational performance and positive working capital contribution. With a healthy balance sheet and the expectation for future cash generation in the back half of the year, we are well positioned to continue investing in growth projects for the business while retaining the financial flexibility to continue returning capital to shareholders.  Moving to Slide 15 for an update on dealer inventory, our network inventory is in a good position, striking the right balance between having sufficient product availability all while operating more efficiently with a lower number of days of inventory compared to historical levels. In fact, our network inventory is only up 24% versus pre-COVID while our retail volumes have grown 49% over that period, driven by industry growth, the addition of a new product line, the Sea-Doo Switch, and more importantly significant market share gains. We still have opportunities to further improve availability on ORV while continuing to work through the remaining inventory for summer product as the season is winding down. Looking ahead, we will continue to diligently manage our network inventory to ensure that we are well positioned to seize retail opportunities while continuing to operate more efficiently to limit the cost of inventory for both us and our dealers.  Turning to Slide 16 for an update on our guidance, we are entering the second half of the year in a strong position, having delivered strong financial results and retail performance in H1. With just five months remaining in the fiscal year, we are well positioned to deliver on our guidance, which calls for a solid year for year-round and seasonal products as our line-ups are driving consumer demand, and the positive response to our recent product launches reinforces our confidence and ability to sustain our market share momentum in H2. The competitive and promotional environments remain in line with our initial expectations and we now have better visibility into our shipment plans thanks to a strong booking of pre-sold units in snowmobile and as we will be filling initial dealer orders for multiple new products we just introduced. As such, we are comfortable re-affirming our year-round and seasonal product revenue guidance ranges. As for power sports, PA&A and OEM engines, we are adjusting our guidance to reflect softer trends in accessory orders as dealers are working through more elevated levels of inventory in the network. Similarly for marine, we are revising our guidance to incorporate our decision to realign our shipment plans for the year to focus on positioning the business for a solid season ’24. Following these adjustments, we expect our revenues to grow between 7% and 10% for the year. Continuing down the P&L, since our last guidance, the supply chain environment continued to improve; consequently, we now anticipate incurring less turbulence cost than initially projected. This adjustment and an improved product mix translates into an additional 50 basis point improvement in our gross profit margin for the year. Combined with our better than expected Q2 results, this margin benefit offsets the impact of lower than anticipated shipments for PA&A and marine, therefore we are re-affirming our normalized EBITDA guidance with a solid growth of up 9% to 13%.  This, when coupled with the benefit of a lower share count resulting from the buybacks we have completed at this point, yields a normalized EPS guidance of $12.35 to $12.85. Additionally, within the context of our realigned marine plan for the year, we have decided to postpone our boat capacity expansion in Mexico by 12 months. This strategic decision combined with timing of investments in other projects allows us to reduce our capex guidance by $100 million, now ranging from $650 million to $700 million. This capex reduction is expected to further reinforce our already robust free cash flow generation for the year. Finally before turning the call back to José, I want to highlight a couple of elements. First, as evidenced in our normalized EPS guidance bridge on Slide 17, the adjustment in our marine plan for the year has a negative impact of $0.60 on our guidance. Despite this impact, our capacity to elevate our normalized EPS guidance underscores the resilience of our diversified portfolio and our ability to deliver operational efficiencies. Furthermore, as we strategically position our marine business for a strong season ’24, you can appreciate that a successful year for that segment coupled with continuing momentum in power sports could yield substantial benefits for our results in fiscal ’25. Secondly, our guidance calls for a very strong second half of the year, as you can see on Slide 18. Although our top line growth may appear limited, I would like to remind you that we are lapping a period in which we had about a billion dollars’ worth of inventory replenishment, making it a difficult comparable. Nevertheless, our results for the second half of the year are expected to be very strong from a historical perspective, reflecting the solid momentum of our power sports portfolio and the underlying strength of the demand for our products. In terms of cadence, we expect to generate roughly 45% of the remaining normalized EBITDA for the year in Q3, resulting as usual in Q4 being our strongest quarter for the year. On that, I will turn the call back to José.
José Boisjoli: Thank you Sébastien.  I am pleased with our performance so far in fiscal ’24 as we continue to significantly outperform the industry. Our strategy is simple - we focus on delivering industry-leading innovation across a diversified product portfolio and we team up with the best dealers. This gives us access to a wide range of customer base across all markets and regions.  Our ability to execute has delivered exceptional results over the past eight years, as you can see on Slide 20. We have gained market share almost every quarter during that period and we are now the number one OEM by a wide margin in terms of average unit retail per dealer. Looking ahead, we will continue to execute that strategy. The record level of new products introduced at Club positions us well to continue to our growth and remain the industry leader.  As for the remainder of the year, we expect demand for our product to continue driving our market share momentum and will stay focused on executing and optimizing efficiencies to deliver a record year in term of top and bottom lines.  In closing, I want to thank all our employees for another strong performance this quarter. I also acknowledge the support of our dealers, who made us the leading OEM in the industry.  On that note, I turn the call over to the Operator for questions.
Operator: Thank you. [Operator instructions] Your first question comes from Mark Petrie from CIBC. Please go ahead.
Mark Petrie: Hey, good morning. Thanks. I wanted to ask first just on the competitive dynamics in the industry. Obviously there’s a healthy rebound in sales volumes versus constraints last year, but I guess just commentary on the competitive dynamics, and then I know the sales programs are higher but still below pre-pandemic levels, so is that just higher than what you sort of initially embedded in guidance or is it just higher from last year? Thanks.
Sébastien Martel: Yes, good morning Mark. I’ll take the question on the sales program. They are trending in line with our expectation. Yes, the floor plan cost is higher because the interest rates are higher, but from a retail incentive point of view, we are trending according to plan. You might recall that we said we would expect about a 200 basis point headwind coming from retail incentives this year, and that is currently the assumption we’re working with, so no changes there.
José Boisjoli: On the other question, Mark, there is not much change in the dynamic into the industry. All OEMs are getting better with the supply chain, and basically what I believe makes us different than the others is our focus on technology and new product and pushing novelty in innovation. On top, what is positive, and we see now more the stability, but the customer profile. As I mentioned in my remarks, the household income of our customer has increased by 40% since pre-COVID, and those customers are shopping for high end product, where we are good at. I think no big change in the dynamic of the industry with the other OEMs, but I think what makes us different is what we’ve been good at, pushing innovation, technology, and coming out with new products in new segments and more premium product.
Mark Petrie: Okay, thanks. I wanted to ask about the strength across the price points, and you called out Ryker as sort of underperforming relative to Spyder, but curious if that’s also the case in PWCs, where obviously you have a range across price points. Is that the same dynamic?
José Boisjoli: It’s a bit different. Those two products are entry level products, but the Ryker customer is more, I would say, a midrange household income. Sometimes those customers are definitely more concerned with the macroeconomic and the inflation and all this. The watercraft Spark customer is more high household income, it’s people who have typically a cottage on the river, the lake, and they buy two watercraft for their family, then it’s a different profile. Same type of product, entry level, but different profile in customers. 
Mark Petrie: Okay, understood. Then maybe just one last one, Séb, you mentioned the supply chain as sort of a 50 basis point tailwind in the second half. Is there still an opportunity for this to be a tailwind in next fiscal year, or will you be lapping stability by that point?
Sébastien Martel: Obviously this year, we are getting a huge benefit from a better supply chain, and I’d say also the teams are very focused on coming back to more normal operations and they’ve outperformed our expectations. We have solid people running all our plants, and so most of the benefit is going to happen this year. I might expect a bit of a benefit next year, but a significant part is being materialized, which is good news, this year.
Mark Petrie: Yes, understood. Okay, thanks for all the comments. I’ll pass the line. All the best.
José Boisjoli: Thank you.
Operator: Your next question comes from Robin Farley from UBS. Please go ahead.
Robin Farley: Great, thanks. I wanted to ask a little bit more about the sales promos that you highlighted kind of being tied to interest rates, that partially offset some of the margin improvement. Can you give us some color around the mix of your buyers that are paying cash versus financing and how that kind of compares to pre-COVID?
Sébastien Martel: When we look at the overall trends from our financing partners, there is not a significant change in terms of proportion of who’s financing versus who’s paying cash, so we’re still in a range of with our partners about 30%, but we know that dealers have arrangements with their local credit unions and banks, and another 30% is being done through retail financing there as well. About 60% to 65% is done through retail financing, the other is cash, but we are seeing higher FICO scores versus pre-COVID and that obviously is being highlighted, as José said, through the household incomes that are higher as well. But the acceptance rates are in line with pre-COVID and with COVID, and we don’t feel that our retail partners have tightened on the credit as well.
Robin Farley: Thank you, and then just one follow-up. You talked about the higher demand, your higher customer income level, and obviously a lot of demand at the higher end. Can you talk a little bit about what’s happening at the entry level and whether it is a share shift to maybe some lower priced OEMs, some other imported product, or is it, do you think just overall, just less entry level; in other words, is it more of a share issue or a size of the pie issue at the more entry level? Thanks.
José Boisjoli: I think it’s--obviously the inflation that we’ve been through in the last 18 months and the pressure on the macroeconomic and the uncertainty is scary for people who are buying entry level product, could be scary. But you know, our job is to make sure that we are competitive in the entry level, and we’re focusing a lot on the premium because that’s where we shine, but we still have Sea-Doo Spark and Ski-Doo MXZ below $7,000. We have many side-by-side models in Commander and Maverick between $13,000 and $16,000, and the Switch, which is an entry level pontoon below $24,000. What we’re trying to do is always keep good offerings in the value product and pushing, again, technology and innovation for the high end product. We want to have a wide portfolio of product to make sure that we please everybody. A positive thing, like I said before on the previous question, is the trend of the customer change in the last few years, and it’s benefiting us right now.
Robin Farley: Okay, great. Thank you.
Operator: Your next question comes from James Hardiman from Citi. Please go ahead.
James Hardiman: Hi, good morning. Thanks for taking my call.  I wanted to dig into the inventory situation a little bit. Obviously you talked about your inventory being up 24% versus 49% increase in retail. It sounds like you’re comfortable with where you are. I guess why is that, and ultimately why is there not a greater opportunity to replenish inventories? Then I guess sort of a second part of that question, in the prepared remarks, you talked about how some dealers were working through elevated levels of inventory - it sounds like it’s not your inventory that’s elevated, but help us sort of connect those two comments.
Sébastien Martel: Well, we’ve always said that coming out of the pandemic, we wanted to run our dealer networks with less inventory. We’ve said it, a lot of OEMs have said it as well, and dealers say it as well, and so we’ve been very focused on making sure that we have enough inventory so that the dealers have the right product offering when the consumer walks in, and they can close the sale rapidly and get the unit to the consumer rapidly. We also have flexibility in our ability to quickly deliver units to the dealers if they need them, and so our goal is to make sure that we have that right level. I’m actually happy to see that - again, dealers are saying that they have the right level of inventory, they’re able to meet consumer demand, and we’re managing it diligently. I mean, we are cognizant as well that interest rates are higher, so why put more inventory in the network? It creates more cost for us, more cost for the dealer network if we don’t need it.  Ultimately what we are driving for with the dealer network is not to create a great pressure where they’re focused on our units because they have them in the yard but because they’re making more profit selling our units, and one way of making more profit is by having the right level of inventory so that they don’t pay unnecessary floor cost. 
José Boisjoli: Just to maybe to add to Sébastien, I just came back from a club where we had many discussions about this with dealers. For sure, if you survey a dealer, they will tell you they have too much inventory, but they look at it in dollars, and we look at it in units. Again, I said it in the remarks, but our inventory level right now in the network is 24% higher than pre-COVID but our retail is 50% higher than pre-COVID, plus you have higher end product and you had all the price increases that we have done in the last four years. For sure the dealer, when they look at it in dollars, they don’t like it with the interest rate, but if they want to support the growth at retail and be able to supply to the demand, this inventory is needed. We look at it in number of days, and we are below pre-COVID.
James Hardiman: Got it, that’s helpful. Just to clarify, the billion dollar headwind that you’re lapping against in the second half of last year, that’s versus a zero this year’s second half, presumably, or I guess maybe put a better way, the days on hand, you expect to stay pretty constant as we move forward, maybe not quite a one-to-one wholesale to retail because retail is obviously growing, but is there any offset to that billion dollars in the second half of this year versus the second half of last year, or is that--is your retail going to have to grow by that much more just to get to sort of flattish sales?
José Boisjoli: Well, if you look at what the implied growth is for the back half of the year, obviously there is that inventory replenishment that we did last year. About 60% of that was for seasonal product because of timing of shipments for personal watercraft and Switch, but when you look at the implied growth for year-round products based on the guidance, you’re talking about a growth of 11% to 16% growth - that obviously comes from the market share gains we’ve experienced over the last few years, the recently introduced products that we’ve done at the Club, obviously better pricing, better mix as well, and also by strong deliveries of ATVs as we’ve launched a brand-new platform. But I’ll remind you that in the last three years, we’ve gained three points of market share in side-by-side, and obviously that momentum is fueling wholesale deliveries and retail deliveries as well. 
James Hardiman: That’s really helpful, thank you.
Operator: Your next question comes from Xian Siew from BNP Paribas. Please go ahead.
Xian Siew: Hi guys, thanks for the question. Maybe first on the $0.80 better than 90 days ago in terms of the raise to guidance, can you maybe disaggregate between mix, turbulence costs and operating expenses? Then maybe within that mix improvement, what do you think is driving that and how much do you think that continues until, let’s say, next year? Does mix continue to be a positive driver for the next couple of years? Thanks.
Sébastien Martel: Yes, well about 40% of the $0.80 adjustment comes from mix. As José alluded to in his prepared remarks, we are seeing a healthy--a financially healthier customer buying our product. These customers are looking for high end product. We’ve recently launched the Maverick R - we’ll call it the next level in technology for the sport side-by-side, and that obviously is driving very strong margins. But from a utility point of view as well, the customers are asking for fully enclosed side-by-side with HVAC, and we’ve made adjustments in our production capacity in order to be able to deliver these units and meet customer demand, and that obviously is helping the mix favorably.
Xian Siew: Okay, got it. Then maybe on seasonal, you did better than the street expectation, but guidance was kind of held for the year. Were there any shifts to consider, and are there any kind of margin impacts we should think about?
Sébastien Martel: No, we were expecting a very strong second quarter for seasonal products due to better deliveries of personal watercraft and Sea-Doo Switch. Again last year, because of supply chain it was a tough quarter, and so now things are back to normal seasonal patterns. That’s obviously a big plus. The implied revenue decline in the back half of the year is really mainly related to timing of deliveries compared to last year, but all in all, we’re very happy with the season we had on seasonal. Sea-Doo Switch was our first real year of deliveries, obviously the demand was very good, and the performance of the Switch was also strong from a retail point of view and from an industry point of view as well, but nothing to highlight specifically other than that.
Xian Siew: Okay, great. Thank you. Good luck.
Operator: Your next question comes from Fred Wightman with Wolfe Research. Please go ahead. 
Fred Wightman: Hey guys, good morning. I just wanted to come back to the dealer inventory number, and I totally get that it’s below the retail share performance, but in the past you guys have given sort of a bridge between seasonal products and then also year-round products. Can you give us an update on sort of where the dealer inventory levels for both of those categories stand today, either on a year-over-year basis or next to ’19, however you want to talk about it?
Sébastien Martel: Well, when I look at the overall inventory position, what I’d say is for year-round products, we are comfortable with the inventory we have for both ATV, as we’ve started shipping the new model. For side-by-side, as I said, we have opportunities to increase deliveries, especially on the utility full enclosure cabin side-by-side. That’s a product that’s in high demand. Spyder, very strong on the traditional Spyder, we’re good there. We have a bit more Rykers, and that obviously will--we’ve put a plan in place to make sure that we get through that inventory in the next quarter. From a seasonal point of view, we finished the season. With personal watercraft, it’s going to finish in a month, very happy with the season that we had, good levels of inventory coming out of that season. The Sea-Doo Switch, strong season in some markets. The midwest was a bit softer than what we were expecting, so we have a bit of inventory there that we are working through and we’ve put promotions as well in those regions to make sure we get that model year ’23 retail and get ready for model year ’24.
Fred Wightman: Okay, and then just to follow up on the marine business, you guys are cutting the outlook, you’re delaying or deferring some of the capacity expansions - just a pretty big change versus a couple months ago, so can you just give us maybe an industry lay of the land as far as what changed, and maybe why you think it was so much different than what seems like solid demand for year-round?
José Boisjoli: If you talk about the industry, obviously the weather was not the best. We didn’t have the best summer to start with. After that, many customers financed their boat 15 to 20 years, which is a very long period, and obviously the interest rates that climbed over the last 18 months affected, or people delayed. When you have a combination of interest rates going up in a summer that weather is so-so, some customers preferred to delay their purchase, and this is for the industry.  For us, what happened, and you know the story - I mean, I don’t want to talk too much about it, but we had--we were a victim of a cyber attack last fall, the operation in marine was the last to be reintegrated. After that, we had that supplier difficulty, and when we started to really ramp up with good volume the production in May, dealers already had high inventory of other brands, and at the end of the day, we were pushing too much, then we decided to slow down for season ’23 and refocus everything on season ’24.  Why we are happy overall, it’s first the product is well received, the product that we shipped in season ’23. We have introduced the dual engine Manitou that was very well received by the dealers at Club two weeks ago. The factory is now up and running and we are re-engaging the dealer and realigning all this for season ’24, then it’s a question about this. Obviously the factory in Mexico, we paused by one year. We’ve lost basically a season because of the industry and our--we were behind our plan, and this was just a logical move to do.
Fred Wightman: Makes sense, thank you.
Operator: Your next question comes from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Yes, thanks. Good morning. Just trying to get maybe a little bit of a better handle on what you’re seeing in the retail. Obviously it’s still very strong for you, but I was wondering if you could maybe talk about how retail performed through the quarter, was it fairly steady throughout, and then what you have seen so far, I guess, in August? Obviously you’re facing a much tougher comp in your fiscal Q3, but maybe you can just talk about retail trends so far in the third quarter. 
José Boisjoli: The retail, if we look at the year, retail was soft in February-March but picked up very good in April and continued the whole summer. I know that some of you were concerned about the model year ’22 three-wheel and watercraft, but we’ve been able to sell most of them and we’re very happy the way the season unfolded.  For the third quarter, what is our expectation, I don’t want to go into too much detail and get into the habit of providing guidance every quarter for what’s coming, but overall we are in a good position for the second half because on the off-road, we have the new Maverick R, we have the additional Defender entry level product, the additional entry level product on the X3, and when I say entry level product in the side-by-side category, which is high end, we have the ATV mid-cc platform that is extremely well received, and the snowmobile line-up, as we’ve said, about half of our production is already pre-sold and we feel very good about off-road and snowmobile.  Obviously you can expect in H2 lower retail for watercraft and three-wheel because last year, we shipped the ’22 in Q3. When we look at the overall, we are planning the industry to be flattish, and us when you consider all the product lines, some reduction on watercraft and three-wheel and an increase in off-road and snow, we’re targeting to be around mid single digit growth for H2.
Cameron Doerksen: Okay, that’s very helpful.  Just secondly, maybe switching gears, just want to talk a little bit about the EV roll-out. I guess at the Club, you kind of described that the final product that you’re going to introduce on the electric side is going to maybe be delayed by about a year, and there’s been some, I guess, challenges in developing the technology. Can you maybe just talk about what the challenges are that you’re facing there, and just how the EV roll-out and end development is going?
José Boisjoli: Yes, but first Cameron, I would like to remind you that we’re developing our own technology and we’re developing our own battery pack, motor, inverter, charger, software, and we believe by doing this all by ourselves, we will be better integration and performance than buying components that you need to put together, and it will be more cost effective. Doing this, it’s about people and suppliers, working with suppliers. This is going on. There is overall some delay, but it’s not--we had planned for some delays in some areas, but--and I just want to remind you that last year when we disclosed Rise and the two-wheel motorcycle, we said to the dealer that the product would be available in 2024, and some dealers, because we had some prospect dealers mainly from Europe in Atlanta, wanted to see with BRP what are the rest of the line-up, and we wanted to be very clear with the dealers. We could have decided to show the specs, the prices, the allocation, and our plan for network fulfillment, but we felt it was too much information against the competition. We said very clearly, all the details will be unveiled next summer, and delivery for both the Rise and the two-wheel will happen in the fall of 2024.  We’re not delaying by one year. You could debate some were expecting to have it earlier in the summer, but we are very basically overall on plan.
Cameron Doerksen: Okay, that’s helpful. Thanks very much.
José Boisjoli: Thank you.
Operator: Your next question comes from Craig Kennison from Baird. Please go ahead.
Craig Kennison: Hey, good morning, and thank you for taking my questions. It’s been a good call. I wanted to ask on the credit side, do you have an understanding or a read on the percentage of your buyers that are exposed to student loan repayments in the U.S.?
Sébastien Martel: I know it’s been on the news feeds recently, changes to student loans, but no, we don’t have that visibility, Craig, what percentage have outstanding loans.
Craig Kennison: Okay, and then maybe just said more broadly, I’m wondering if there’s a way to measure affordability in terms of monthly payments, if you look at a similar unit this year versus maybe pre-pandemic, how much more expensive is it per month relative to the income of your consumer, and do you see that consumer getting pinched in the climate we have today?
José Boisjoli: Yes, good morning. I will give you an example of the Sea-Doo Switch, because we were expecting the question, and obviously for ourselves to better understand the dynamic. But many of the buyers buy boats financed 15 to 20 years, and if you take a Sea-Doo Switch, and we took a model Switch Sport 21-seat, if you were financing--and again, the rate could vary depending on your score, but high level, if you were financing a Sea-Doo Switch in June ’22, your rate was 7%. If you were financing your Switch in June ’23, this year, your rate was 8.8%, and in August your rate was close to 12%. The difference between, let’s say June ’22, it was around $250, and it was $100 more in August ’23. Now, you can debate, $100 for someone who really wants the product, some will justify it, but when you commit for 15 or 20 years, it’s a long payment, and I think the rate increased so much in the last 12 months that some customers are reflecting if they will buy or not, and that’s why--that’s what affected, I believe, the boat industry.
Craig Kennison: That’s a really helpful example. Thank you.
Operator: Your next question comes from Martin Landry from Stifel. Please go ahead.
Martin Landry: Hi, good morning guys. Maybe just a follow-up to that. The power sports industry has been very resilient when you compare to the boating industry, and also when you compare to the RV industry. Is that resilience just related to price points, is that it? Is that the main explanation why the power sports industry is not seeing much sign of weakness versus other industries?
José Boisjoli: Well, the big difference between power sports and marine is in power sports, typically the people who finance will be three to five years, then your commitment is shorter. The other thing is the OEMs are--it’s easier for the OEMs to subsidize or to do a sales program to support the customers. I give you an example for us. Today we have, depending on the product line, for model year ’23 we have some offers that vary from 2% to 4% for 36 to 60 months, and this is very different than the example I gave into the marine business, both where obviously the rate is higher, the period is higher, and it’s more difficult for the OEM to justify the subsidizing. I think this is a big difference between the two industries.
Sébastien Martel: And Martin, if I could add one extra element there, if we look at what has happened to MSRPs in the last, call it the last four years since the onset of COVID, we saw much higher increases in MSRP in the marine and the RV sector than we’ve seen in the power sports sector. I’ll just give you an example. If I look at personal watercraft, model year ’20 to model year ’24, we’ve increased pricing by 17.4% in the U.S., whereas the boating industry has increased pricing by over 40%, and so that obviously makes the ticket item much higher for marine than for power sports. I think that’s one factor that’s also helping the power sports industry.
Martin Landry: Okay, that’s good color. That’s helpful.  Maybe on [indiscernible] your guidance, your back half guidance implies strong EBITDA margins, I think higher than 18% according to our math. Sébastien, you touched in your opening remarks, heading into fiscal ’25 with strong momentum. Just trying to understand those strong margins in the back half, is there a seasonal tailwind here or can these higher margins be sustainable long term?
Sébastien Martel: Well, customarily we have usually higher margins in the back half of the year. Q3 is a quarter where we have strong margins, the mix is very strong in snowmobile, and also we’re expecting very strong mix in side-by-side. As I said and highlighted, the teams are over-performing from an operations point of view and from a [indiscernible] point of view, which is also driving good savings, which will be there next year. As you know, next year is our M25 anniversary date and so where we have ambitious financial objectives, and our plans are still very much in line with the M25 objective. When you look at what we have delivered since we have done our investor meeting last June, or last year, on the side-by-side side we are just shy of that 30% market share objective that we had given ourselves, and especially with the recent product introductions, that will obviously drive continued market share gains. ATV, we finished very strong this season with 20% market share, and there’s going to be continued momentum as we’ve just started delivering the new platform.  We finished the season with record market share in snowmobile and personal watercraft, so that obviously bodes well for next year. Sea-Doo Switch, we always said we want this to be a $500 million business. This year, we will be at $500 million, so again continuation next year, so everything in power sports is in line and even better than our plan. Again, if I want to put things into perspective, if you look at the last 12 months, we’ve gained about six points of market share in the power sport industry, and every point of market share we gain is about $190 million of revenue, so with the recent product introductions, the momentum, the brand, the dealer engagements, we are well positioned for next year. Marine, softer than expected but we are obviously making the necessary steps to position it well for next year. [Indiscernible] is going very well, as I mentioned. The modular design is paying off and we have a greater proportion of vehicles being produced in Mexico, so all in all if the industry remains the same and consumer demand is maintained, we feel very comfortable with our plans for next year, Martin.
Martin Landry: Okay, that’s helpful. Congrats on your results.
José Boisjoli: Thank you.
Operator: Your next question comes from Jaime Katz from Morningstar. Please go ahead.
Jaime Katz: Hi, good morning. I hope you can just dissect your outlook on gross margin a little bit more, just on the ability to take pricing, the premiumization of the mix, and then how much more of the logistics tailwinds are left to help hold that metric up. Thanks.
Sébastien Martel: Yes, obviously we had very good gross margin in the second quarter. When I look at the puts and takes of the margin, obviously pricing net of inflation was a big driver - that was a tailwind of 170 basis points, offset by programs. We said our expectation for the year was 200 basis point headwind; this quarter, it was 170 basis points. Floor plan costs are higher as well - that’s a headwind of 100 basis points, and in terms of turbulence, we’re looking at a 250 basis point tailwind. A big tailwind in Q1, big tailwind in Q2, that’s going to taper down in Q3 and Q4, as even last year Q4, we saw benefits from turbulence costs, but overall in line with our--in our plan, plus adjustments we’ve made in the guidance, and as we mentioned, we had FX, which was a headwind for 180 basis points in the quarter. Obviously strong gross margins, strong EBITDA margins driven by again the great mix, product that commands these margins, and as well great operational efficiency from the teams.
Jaime Katz: Then are there any inefficiencies that will stem from pushing the facility out that will weigh on gross margin next year, the build-out of that marine facility? Thanks.
Sébastien Martel: Not significant when you look at the cost to build a plant. Yes, there is some operating expenses associated with it, but when you look in the grand scheme of things, it’s not that material.
Jaime Katz: Thanks, helpful.
Operator: Your next question comes from Joe Altobello from Raymond James. Please go ahead.
Joe Altobello: Thanks. Hey guys, good morning. Just wanted to go back to your comments regarding M25. You mentioned power sports is trending well, marine not so much, and you mentioned you’re pushing back capacity expansion by 12 months. Is it safe to assume that we should think about the marine M25 targets as getting pushed back a year as well, and has your long term outlook for that segment changed at all?
José Boisjoli: Yes, if you remember, in the M25 we were targeting by the end of fiscal year ’25 to be at $1 billion. It’s too early to say if we--what will happen. I think we need to wait to see how the industry will unfold, beginning of the year, the boat show and all this. But you know, for me this is short term. For the marine, the vision that we have is working, it’s just a matter of execution this year, and we will realign for next year then. I think it’s too early for the $1 billion in M25 or fiscal year ’25 for marine, but it doesn’t change the overall picture, like Sébastien described, for the overall BRP M25 objective next year.
Joe Altobello: Okay, that’s helpful. Maybe just a quick question for Séb, I wanted to better understand how you see overall gross margins versus opex playing out this year. I think the prior expectation was gross margins would be up 50 basis points, opex up 50 basis points so they sort of offset, but it sounds like that’s still the case on the gross margin line but we’re looking to see maybe some lower, or less of an increase in opex. I’m curious if I have that right and where that’s coming from.
Sébastien Martel: Yes, the initial estimate when we issued guidance was that we’d get a tailwind on gross margin of 50 and we’d get a headwind on opex of 50, so net flat EBITDA margin year-over-year at 17%. Now with the revised numbers, gross margin, it will be a tailwind of about 100 basis points, and we’d get a tailwind from opex of 50, so--pardon? Yes, and so that would be for this year, delivering strong EBITDA margin this year.
Joe Altobello: Okay, great. Thank you guys.
Operator: Your next question comes from Luke Hannan from Canaccord. Please go ahead.
Luke Hannan: Thanks and good morning. I’ll start off with a quick one. Sébastien, I believe you said last quarter that for the year, you expected working capital [indiscernible] roughly $400 million. I may have missed it if you mentioned it earlier in the call, but do you still expect to see that level of tailwind for the year?
Sébastien Martel: Yes, we’ve generated strong cash flow, free cash flow since the beginning of the year, over $500 million for the first six months total free cash flow, with minimal working capital benefit, as I said. We’re still running with higher levels of inventory, we’ll call it safety stock, but obviously with the good results that we’re seeing from the supply chain turbulence, the expectation is that we will be able to achieve our $400 million working capital benefit at the end of the year.
Luke Hannan: Okay, and then a higher level question here. I appreciate the commentary earlier in the call, José, about the market share that you’ve been able to gain in SSV, particularly in Canada, but I guess just taking a step back and from a higher level structurally, when it comes to the competitive dynamics or anything else inherent to that product line specifically, is there any reason why longer term, you wouldn’t be able to achieve a market share in SSV similar to what you have right now in snowmobiles and personal watercraft?
José Boisjoli: There is no reason. You know, we’re going step by step. On the M25, the objective was to reach 30% market share. We’re almost there and we will pass that 30% next year. After that, with the momentum that we have and the product innovation, we will not stop there, like I said in my prepared remarks. For us, you know, it’s always, like I said, in some--many investors are asking why are you gaining so much versus others that are not able, but as we said, in 2015 when we introduced the Defender, we wanted to convey a strong message about our commitment in the side-by-side industry, and that’s where we committed of a new model every six months for the next four years. That message convinced many dealers to convert more space to BRP, and with our capacity to come out with innovative products, pushing technology, pushing design, combined with that commitment, it was like a big wheel that did start in motion, and today the wheel is really in motion.  I believe that with our continued push on product and helping the dealers and working with the dealers to continue to grow, this is what explains the success. Definitely I will not commit this morning about any specific number for any dates, but I can assure you we will not stop at 30%.
Luke Hannan: Great, thanks for the commentary.
Operator: Your next question comes from Brian Morrison from TD Securities. Please go ahead.
Brian Morrison: Hey, good morning. Thanks for all the clarification comments. I have one further question to clarify, though. Séb, you mentioned on Slide 18 and your prepared comments that you’re lapping H2 fiscal ’23, there’s $1 billion of inventory replenishment. How much of that--how much was inventory replenishment revenue in fiscal ’23, how much do you estimate will be in fiscal ’24, and how much is there to go in the second half? I understand that retail unit sales are well in excess still of the increase in inventory at retail.
Sébastien Martel: As of today, Brian, I’d say we’re pretty much done on the inventory replenishment. Obviously there is going to be some seasonal elements where we might find, okay, there’s snowmobile that’s going to be there at Q3 more than last year, but from an overall business point of view, their inventory replenishment is not a tailwind for us. Growth in inventory will come with growth in market share or growth in industry, but not from putting more units at the dealership.
Brian Morrison: Okay, and how much replenishment was there this year and last?
Sébastien Martel: Well, last year was a billion. We probably did $250 million at the beginning of this year, and in fiscal year ’23, I’d have to check, but not that significant, probably same in this year. But obviously the bulk was in the second half of last year.
Brian Morrison: Right. Then on Slide 17, you said there’s lower shipments of PA&A, primarily due to Sea-Doo pontoon. Can you just reconcile that with the strength of the Switch? Was it just the pre-builds because the product was in its infancy last year?
Sébastien Martel: Well, last year, as you know, we under-delivered in terms of Sea-Doo Switch pontoons, and so dealers--we under-delivered units, but we delivered--dealers had ordered parts and accessories, and so they had quite a bit of inventory on hand. This year, they were able to cycle through their inventory, get it to the dealers, but they still have a bit more inventory, and so dealer levels are higher from a PA&A side, and so they will be adjusting their dealer inventory and they’re ordering less from us.
Brian Morrison: Okay, simply timing. Okay, thank you very much.
Operator: Your next question comes from Tristan Thomas-Martin from BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Good morning, just one question from me. How are dealers approaching holding inventory or maybe ordering over their off seasons any different given how elevated floor plan costs are?
José Boisjoli: It’s a bit funny. I was again with power sports dealers and marine dealers two weeks ago, and if you talk to dealers, like I said in the question before, they don’t like the inventory in dollars and the interest, but at the same time when we take an order, it’s like a discussion between your growth and what you’re planning and basically orders in line with our expectations. That’s why we said the volume is in line with expectations but with a richer mix. It’s a bit funny, the power sport dealers right now, most of them complain about the interest bill at the end of the month, but they still--they understand that to support the growth, they need to invest in working capital.
Sébastien Martel: Yes, and the other thing is that dealers do trust us, that we’ll make the right decisions. One thing that’s important is that we do support the inventory in the first 60 to 90 days when the unit is shipped, so obviously that is a burden that they do not have. We have, and we accept it. The other thing is in the past, if we’ve ended a season with too much inventory, we’ve always been there to step in and support the dealers with their floor plan financing, and that’s something that we’ve done and that’s something that we will continue to do if a season would end up to be not as good as expected and they’d have more inventory. There is a level of trust there that exists between us and the dealers on that side.
Tristan Thomas-Martin: Okay, so they’re complaining more but they’re not changing their habits? Got it, thank you.
Sébastien Martel: Well I mean, they’ve lived in a perfect world for two years - they had no floor plan financing costs and so they forgot what it was, and now they have inventory, which they’re happy because that allows them to sell, but there is obviously a higher interest rate and higher floor plan that comes with it, so there is sticker shock but it’s a cost of doing business.
José Boisjoli: It’s like meals in the restaurant - more expensive, but you still go.
Tristan Thomas-Martin: Sounds good, thank you.
Operator: Your next question comes from Michael Kypreos from Desjardins. Please go ahead.
Michael Kypreos: Good morning and congrats on the strong results. Just one quick one for me, maybe on the snowmobile front. I think you mentioned 50% had been presold, the same figure that you had mentioned last quarter. Have you seen any early signs of cancellations, or is everything setting up well for a strong season in your point of view, especially with one of your competitors saying that they’re going to exit the market?
José Boisjoli: No, no sign of--every year, you have some fallout and some cancellations, but I haven’t heard any dealers saying that this year was worse than previous years. Snowmobile customers are different than the others. Some will save money and that’s the last thing they will cut in their budget because it’s a passion, and we believe we’re in good shape for the snowmobile season.
Michael Kypreos: Appreciate the color, thank you.
Operator: Your next question comes from Jonathan Goldman from Scotiabank. Please go ahead.
Jonathan Goldman: Hi, good morning guys, and thanks for taking my questions. Most of them have been answered, just two housekeeping ones. José, you talked about possibly exceeding the 30% market share in side-by-side next year. I just wanted to, if you can revisit the capacity that you have in side-by-side currently and coming online, what market share could that support over the next two years, or year and a half?
José Boisjoli: Oh, that’s a good one. First, we have plenty of capacity for next year’s season. We will not reach the maximum of our capacity. As you remember, we build Juárez 1-- Juárez 2, sorry, in two phases and Juárez 3 in two phases, then we have plenty of capacity for next year for sure. Now we’re even looking how we could tweak and maybe optimize the capacity within those two factories. I think there are ways where with small investments, you can even increase the capacity above what we had planned two years ago.
Jonathan Goldman: Perfect, that’s helpful. Then just I guess one for you, Sébastien, on the reduced capex guide by $100 million, does that change your thinking around capital allocation for this year at all?
Sébastien Martel: No, we’re still going to be generating strong free cash flow even before the reduction of capex, and obviously we’ve been active with buybacks. We still have about 900,000 shares to buy back under the NCIB, but the priority, as we’ve always said, is investing in growth and any excess free cash flow will be used to obviously return it to shareholders, which we’ve been very good at doing in the last few years.
Jonathan Goldman: Okay, thank you. That’s it for me.
Operator: Ladies and gentlemen, as a reminder, should you have a question, please press the star followed by the one. Your next question comes from Brandon Rolle from DA Davidson. Please go ahead.
Brandon Rolle: Good morning. Thank you for taking my quick question. Just circling back to the fiscal year ’25 earnings targets and revenue guidance, could you just speak to your level of confidence to hit those targets? I feel as though there’s a view out there it’s going to be impossible for you to hit, even the low end of that earnings range. I know you talked about the market share gains, but just overall, where could there be some downside to the current guidance and are you still comfortable with hitting those earnings targets? Thanks.
Sébastien Martel: Well, as I said to Martin’s question, when we look at all the positives that have been happening, there’s been a lot. We’re ahead of plan on a lot of the elements, and again if the consumer sentiment is to remain as it is today, we strongly believe that the M25 target is achievable. Now, if there was going to be a soft landing in everybody’s calls or a recession, obviously we’d revisit our plans, but we can’t manage the business one foot on the gas and one foot on the brake. Today when we look at the great momentum that we have, there’s no reason why we could not achieve the target next year.
Brandon Rolle: Great, thank you.
Operator: There are no further questions at this time. I will turn the call to Mr. Deschênes to close the meeting.
Philippe Deschênes: Thanks everyone for joining us this morning and for your interest in BRP. We look forward to speaking with you again for our third quarter conference call on November 30. Thanks again everyone and have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and you may now disconnect your lines. Thank you.